Operator: Good morning and welcome to the Hyatt Fourth Quarter and Full Year 2025 Earnings Call. All participants are in a listen-only mode. After the speakers’ remarks, we will conduct a question and answer session. As a reminder, this conference call is being recorded. I would now like to turn the call over to Adam Rohman, Senior Vice President, Investor Relations and Global FP&A. Thank you. Please go ahead.
Adam Rohman: Thank you, and welcome to Hyatt Hotels Corporation’s fourth quarter 2025 earnings conference call. Joining me on today’s call are Mark Hoplamazian, Hyatt Hotels Corporation’s President and Chief Executive Officer, and Joan Bottarini, Hyatt Hotels Corporation’s Chief Financial Officer. Before we start, I would like to remind everyone that our comments today will include forward-looking statements under federal securities laws. These statements are subject to numerous risks and uncertainties as described in our Annual Report on Form 10-Ks, Quarterly Reports on Form 10-Q, and other SEC filings. These risks could cause our actual results to be materially different from those expressed in or implied by our comments. Forward-looking statements in the earnings release that we issued today, along with the comments on this call, are made only as of today and will not be updated as actual events unfold. In addition, you can find a reconciliation of non-GAAP financial measures referred to in today’s remarks under the Financials section of our Investor Relations website and in this morning’s earnings release. An archive of this call will be available on our website for 90 days. Additionally, we posted an investor presentation on our Investor Relations website this morning containing supplemental information. Please note that unless otherwise stated, references to occupancy, average daily rate, and RevPAR reflect comparable system-wide hotels on a constant currency basis, and closed hotels in Jamaica are excluded from comparable metrics in 2026. Percentage changes disclosed during the call are on a year-over-year basis unless otherwise noted. With that, I will now turn the call over to Mark. Thank you, Adam. Good morning, everyone, and thank you for joining us today. I want to begin by expressing my sincere gratitude for, and pride in, the entire Hyatt Hotels Corporation family. Our teams around the world navigated a dynamic macro environment in 2025. Guided by our purpose, we advanced our evolution to a more brand-focused organization, one that uses sharper brand positioning and deeper insights to go to market in a more meaningful and differentiated way. This approach allows us to serve our guests and customers on more stay occasions and become an even more attractive brand choice for owners. We closed 2025 with momentum, and we believe we are better positioned than ever to create lasting value for our shareholders. Now turning to operating results. This morning, we reported fourth quarter system-wide RevPAR growth of 4%, driven by the continued strength of our luxury brands. Leisure transient RevPAR increased approximately 6% to last year, as our guests continue to prioritize leisure travel. This was especially true across our luxury brands where we saw leisure transient RevPAR grow by 9% with strong growth across the world. Business transient RevPAR declined 1% in the fourth quarter, driven by select service hotels in the United States, while full service hotels delivered low single-digit growth led by hotels in international markets. Group RevPAR increased 3% compared to last year, in line with our expectations and supported by a more favorable calendar in the United States. We continue to see exceptional engagement from our World of Hyatt loyalty members, a key driver of our commercial performance. The World of Hyatt program is consistently recognized in the industry as best in class. We are proud to have been recently recognized as NerdWallet’s best hotel rewards program and The Points Guy’s best hotel elite status in the industry. World of Hyatt continues to grow in both scale and significance. We ended 2025 with over 63,000,000 members, an increase of 19% compared to the end of 2024, and World of Hyatt members accounted for nearly half of total occupied hotel rooms across the world in 2025. As we have sharpened our brand focus, we are seeing loyalty drive not just scale, but higher-value demand, particularly among our most frequent and loyal guests. In 2025, we saw a 13% increase in room nights from members who stayed with us for 50 or more nights over the course of the year. It is clear that the value proposition of our loyalty program resonates with current and prospective members, which we believe makes Hyatt Hotels Corporation very attractive to hotel owners and developers as they look to brands that are growing in value to them. Turning to development. We achieved industry-leading growth for the ninth consecutive year with net rooms growth of 7.3% in 2025. Excluding acquisitions, net rooms growth was 6.7%, a meaningful acceleration from 2024. During the fourth quarter, we surpassed 1,500 open hotels and resorts globally and welcomed several notable openings including the Parquet Cabo del Sol and Andaz One Bangkok. Our newest upper midscale brands are starting to make an impact, marked by the second Hyatt Studios hotel opening along with the debut of our first Hyatt Select hotels. Both brands provide the foundation for our upper midscale expansion in the United States. We also welcomed several Unscripted by Hyatt hotels during the quarter, and we are excited about the opportunity to grow this brand across the world. We ended 2025 with a record development pipeline of approximately 148,000 rooms, up more than 7% compared to the end of 2024. In the United States, we achieved the strongest year of signings in the past five years, with 50% of those signings in markets where Hyatt Hotels Corporation does not currently have a brand presence. Our three new brands, Unscripted by Hyatt, Hyatt Studios, and Hyatt Select, accounted for nearly two-thirds of the signings in the United States, demonstrating the compelling value proposition for owners and developers and the clear opportunity for Hyatt Hotels Corporation to expand into new markets. Outside the United States, we continue to see strong interest in our brands, and we expect Greater China and India to be significant drivers of future growth. In Greater China, we are seeing strong interest across our select service brands, with signings growing by more than 50% compared to 2024. In India, we are seeing great interest in our full service offerings. Our strong pipeline and momentum in upscale and upper midscale brands reinforce our confidence in achieving durable and capital-efficient fee growth well into the future. Now shifting to an update on transactions. On December 30, we sold the remaining 14 hotels in the Playa portfolio to Tortuga Resorts for approximately $2,000,000,000 and entered into long-term management agreements for 13 of those properties. This transaction strengthens our position as a global leader in luxury all-inclusive offerings and is another example of delivering on our commitments and emerging with a value-accretive, asset-light platform. During the quarter, we also completed the sale of three Alua properties in Spain, which we acquired in late 2024. As part of this transaction, we entered into long-term management agreements, and the new owner plans to invest additional capital into those properties. We continue to make progress on the sale of additional owned properties. We currently have three hotels under purchase and sale agreements. We expect to close these transactions in 2026, subject to certain closing conditions, and we will provide further updates as these transactions progress. We are also evaluating opportunities to sell additional assets beyond those assets already under contract. Since announcing our first asset sell-down commitment in 2017, we have realized over $5,700,000,000 of real estate disposition proceeds at an average multiple of 15 times, and we have invested approximately $4,400,000,000 into asset-light platforms at a blended multiple of less than 10 times. We have returned $4,800,000,000 to shareholders over this period of time, proving that we can return significant capital to shareholders while also investing in growth that creates long-term value. We are now fully transformed into an asset-light business and we expect asset-light earnings of 90% in 2026. As I reflect on the year, I am incredibly proud of what we have accomplished. We achieved strong operating results and organic growth, advanced our brand-focused organization, and completed the Playa transaction in a fully asset-light manner. But what stands out most to me is how our purpose has remained our North Star. While Hyatt Hotels Corporation has evolved significantly over the past decade—expanding our portfolio, entering new markets, and transforming our business model—what has never changed is the foundation that drives our decisions and defines our culture. Our purpose is embedded in the way our colleagues care for each other, our guests, and our owners every day around the world. It is what enables us to meet people where they are, to lead with empathy, and to deliver differentiated experiences. Our purpose shapes how we invest in our brands and loyalty program, where we choose to grow, and how we allocate capital. We have been deliberate about investing in the parts of our portfolio where we see the strongest demand, the best owner economics, and the greatest returns. That discipline has strengthened the durability of our fee-based earnings and increased our scale over time. As we look ahead, we believe this positions Hyatt Hotels Corporation as the most responsive, innovative, and ultimately the best-performing hospitality company—one that can continue delivering consistent performance, capital-efficient growth, and long-term value for our shareholders. I would like to close by thanking each of our colleagues around the world who bring our purpose to life and deliver value to our stakeholders every day. I will now turn the call over to Joan Bottarini for the financial results. Joan, over to you.
Joan Bottarini: Thanks, Mark, and good morning, everyone. In the fourth quarter, RevPAR exceeded our expectations, increasing 4% compared to last year. As Mark noted, and consistent with the trends we have seen throughout the year, high-end chain scales produced the highest growth. In the United States, RevPAR increased 0.5% compared to last year. Full service RevPAR increased 2%, benefiting from a more favorable calendar, while RevPAR declined for select service hotels, reflecting softer business transient demand. Outside the United States, RevPAR performance remained strong, led by leisure transient travel. Asia Pacific, excluding Greater China, led all regions with RevPAR growth of more than 13%, fueled by international inbound travel. Greater China had the strongest quarter of RevPAR growth for the year, with domestic travel up in the mid-single digits—a positive shift compared to trends we saw earlier in 2025. Europe continued to deliver great results, supported by high-end leisure demand. Our all-inclusive resorts finished an exceptional year, growing net package RevPAR 8.3% compared to 2024, with excellent performance in both the Americas and Europe. Our results reflect sustained trends seen throughout 2025: outperformance in luxury and full service brands, strength in international markets, and growing demand for premium all-inclusive experiences. Turning to our financial results, gross fees in the fourth quarter increased approximately 5% compared to the same period last year to $307,000,000. Gross fees for the full year increased 9%, finishing at $1,198,000,000. Our fee business has become the engine behind Hyatt Hotels Corporation’s earnings model, and this is especially true when it comes to organic fee growth. From 2017 through 2025, organic gross fees have grown by almost 8% on a compounded annual basis, demonstrating the strength of our underlying core fee business. In the fourth quarter, Owned and Leased segment adjusted EBITDA declined by approximately 2% adjusted for both asset sales and the Playa transaction, while Distribution segment adjusted EBITDA declined versus the prior year due to Hurricane Melissa and lower booking volumes from four-star and below hotels. Fourth quarter adjusted EBITDA growth was solid despite headwinds from Hurricane Melissa, and on a full-year basis, we achieved another strong year of adjusted EBITDA growth, increasing over 7% after adjusting for assets sold in 2024 and Playa-owned hotel earnings. As of December 31, we had total liquidity of approximately $2,300,000,000 including $1,500,000,000 of capacity on our revolving credit facility.
Adam Rohman: During the quarter,
Joan Bottarini: we repaid the notes due in 2026 and issued $400,000,000 of notes due in 2035. We used proceeds from the Playa real estate sale transaction to fully repay the outstanding balance under our $1,700,000,000 delayed draw term loan in accordance with the terms of the agreement. In the fourth quarter, we repurchased $114,000,000 of Class A common stock, and for the full year of 2025, returned approximately $350,000,000 to shareholders through share repurchases and dividends. We ended the year with $678,000,000 remaining under our share repurchase authorization. We remain committed to our investment-grade profile, and our balance sheet is strong. Before I cover our full-year outlook for 2026, I would like to highlight that beginning in 2026, we are updating our definition of adjusted EBITDA and will no longer include Hyatt Hotels Corporation’s pro rata share of owned and leased adjusted EBITDA from unconsolidated joint ventures. We believe this change not only aligns our definition with our peers, it reflects our strategy and evolution of our business. To help you with modeling our outlook for 2026, we have provided bridges from 2025 reported results to our 2026 outlook on pages 18 and 19 in the investor presentation published this morning. As we have turned the calendar to 2026, we are encouraged by full-year forward booking trends. Group pace for full service hotels in the United States is up in the mid-single digits for this year and is expected to benefit from large-scale events such as the World Cup. We continue to hear positive feedback from our group and corporate customers about their intent to travel this year, particularly for customer-facing travel. Pace for our all-inclusive resorts in the Americas is up over 9% in the first quarter, reflecting the continued strength of leisure travel. We expect full-year system-wide RevPAR growth between 1% to 3%, and we anticipate trends in 2026 will be similar to 2025. This includes higher growth in international markets compared to the United States, and luxury to be the strongest chain scale. In the United States, we expect full-year RevPAR growth between 1% to 2%, led by our full service hotels. We expect net rooms growth of 6% to 7% with continued momentum behind our new brands, driving another year of strong organic growth. Gross fees are expected to grow between 8% to 11% in the range of $1,295,000,000 to $1,335,000,000. Our outlook reflects strong contribution from our core business and incremental fees from the Playa Hotels, along with the impact of temporarily closed hotels in Jamaica and moderate headwinds from properties in Mexico. Adjusted EBITDA is expected to grow at a very strong 13% to 17% when adjusting for the removal of pro rata JV EBITDA and asset sales, in the range of $1,155,000,000 to $1,205,000,000. This reflects strong fee growth and a net positive benefit from the extended co-branded credit card terms. Our outlook assumes continued pressure in the Distribution segment, which we expect will decline by approximately $10,000,000 compared to 2025. Adjusted free cash flow is expected to increase 20% to 30% in the range of $580,000,000 to $630,000,000 and reflects a conversion of adjusted EBITDA to adjusted free cash flow of at least 50%. Finally, we expect to return between $325,000,000 and $375,000,000 of capital to shareholders through share repurchases and dividends. For the first quarter of 2026, we expect global RevPAR growth around the midpoint of our full-year range, with international markets growing at a higher rate than hotels in the United States. Gross fees could grow in the mid-single digit range, and adjusted EBITDA could grow in the low-single digit range compared to what we reported in 2025 after removing pro rata JV EBITDA. As a reminder, we are lapping a very strong 2025, and expect approximately half of the impact from Hurricane Melissa to our fee business and Distribution segment in the first quarter. To close, our 2025 results reflect the strength of our asset-light business model, the power of our brands, and the disciplined execution of our strategy. As we look ahead, we expect our competitive advantage will continue to expand, fueled by the attractiveness of our network and the opportunities to grow across geographies and chain scales. We enter 2026 with confidence, supported by the best team in the business and a clear focus on driving meaningful value for our owners, guests, and shareholders. This concludes our prepared remarks, and we are now happy to take your questions. In the interest of time, we ask that you please limit yourself to one question. Our first question comes from Dan Pitzer from JPMorgan.
Dan Pitzer: Hey, good morning, everyone, and thank you for taking my questions. Mark, I wanted to touch on the net unit growth at the 6% to 7% that you gave. I think it was last quarter you talked about maybe being more glass half full here. I wanted to check if that is still the case. And then maybe you can talk about the drivers for this outlook—its conversion, midscale—and then along with that, your appetite for larger partnership deals within this guidance? Thanks.
Mark Hoplamazian: Yes, glass is still half full. I feel really good about the momentum that we have seen. We had a really significant signing quarter in the fourth quarter and have tremendous momentum in the newly launched brands. So in Hyatt Select’s case, for example, we went from having nine hotels to 32 in the pipeline. And of those, we have some new construction, by the way, in the Hyatt Select brands. Some are prototypical new construction, but most of them are conversions. So we have three under construction, but we have 27 under design. Many of those will be conversions. Studios went from five under construction to 10, but we also have 31 under design, and so they will advance and get shovels in the ground soon. And Unscripted went from nothing to having 0 open and eight in the pipeline right now—three under design, three under construction—so of the eight, six are advancing quickly. And then YourCove, we have 72 hotels open by the end of the year and 93 in the pipeline. So the entirety of the upper midscale side of the equation has tremendous positive momentum, and I am particularly encouraged to see the advancement of so many projects through design into construction for Studios. So that is one piece of the equation. The other piece of the equation is that our mix, as you know, is about 70% luxury and upper upscale in existing open hotels. It is also true that that is the mix of our pipeline. Seventy percent is luxury and upper upscale, and 70% of the total pipeline is outside the U.S. where we are seeing less sensitivity to new builds. So we are opening new projects in China, throughout Southeast Asia, in Europe, and even in the Americas. We opened the Parquet at Los Cabos just this past quarter, and we have other openings in Mexico that are not the all-inclusive resort side of the business, but EP hotels coming this year. So I feel like there is great momentum and that the positioning that we have got—yes, financing is still difficult in the U.S. Yes, construction costs have gone up, but frankly, that has already been taken into account in large measure. You might have seen some recent articles about housing starts actually lagging and housing construction actually lagging. I think that might change, but right now it takes a little bit of pressure off of construction materials costs and factor costs themselves. And we are working really hard to uncover other sources of financing to help our developers who are under design get under construction. So we have got so many levers that are all working right now in a positive manner that I feel really good about the overall growth profile organically looking forward. In terms of portfolio deals, which was your last question—yes, we continue to look at portfolio deals. We are very focused on making sure that they are real, meaning we are not happy to just affiliate. We want to have a deeper relationship and make sure that we are under contract in a way that is providing the owners the best value proposition, which is really to be plugged into our systems and under a franchise arrangement or under a management arrangement. So we have got several discussions underway right now on portfolio transactions. Some are quite large, and they would be full-blown management or franchise agreements. Others are smaller. We are still working hard to fill in Europe on the full service side. It feels like a refrain every quarter, but it remains a focus of ours. I feel really good about where we stand.
Dan Pitzer: I appreciate all the detail. Thanks so much.
Operator: Our next question comes from Benjamin Nicolas Chaiken from Mizuho. Please go ahead. Your line is open.
Benjamin Nicolas Chaiken: Hey, good morning, and thanks for taking my question. Mark, at risk of getting too technical, for AI travel, how do you envision the ranking system working as consumers search for hotels? To the extent you have a view, do you think this will be a traditional kind of CPC auction model where traffic goes to the highest bidder, or do you have a sense that order will be determined purely on the relevancy of the search? Obviously, it is early, but what would be your opinion on how this plays out? Thanks.
Mark Hoplamazian: It is interesting. I think the answer is we will see. I actually do not know yet. What I would say is we began last year building an intent-based search natively into our own digital channels because we recognized early that guests actually wanted to search in prose as opposed to city, state, and availability-date framework. It is very much language-based, and that has been live on hyatt.com for some time. Secondly, we are one of the very few hotel companies that has already launched an app live on ChatGPT, and we are learning a lot just watching and learning from how people are actually using that app in relation to search. We are studying it. What I would say is that our architecture—so a little bit of history—we have been at this, AI enablement, for two full years. Starting in January 2024, I actually chaired the effort. We put together a steering committee, we set up our infrastructure and built it, we set up governance, we set up our control environment, and we identified use cases, four of which have already been executed as large-scale agentic platforms. We are moving forward on a number of different initiatives at the same time. With respect to search specifically, we have been working with OpenAI for months, which is why we have advanced to getting an app up and running with them so quickly. Of course, everybody in the world is at the table with Google and others. You can assume that all suppliers are engaged with all providers of LLM-based platforms. I personally think that the natural language search capability is going to grow in popularity, and we have longitudinal data over a couple of quarters which clearly demonstrate that the booking conversion rate and the total revenue being generated through the native intent-based search capabilities that we built into hyatt.com are having a positive impact. We are seeing higher conversions, higher revenues per booking, and longer length of stay. We are seeing the evolution of search translate into value. It is hard to extrapolate that to an app within ChatGPT, although if you access that app, you will see that there is a live link to hyatt.com so you can complete your booking on hyatt.com because ChatGPT has never indicated that they are prepared to be a merchant of record, and you cannot complete the reservation in that environment. That is fine with us because it brings us into hyatt.com. If I had to guess, I would say there is a more than 50% chance it will be attribute-based and intent-based as opposed to strict value. I would also say that we are cognizant that both will have some place in the ecosystem, and we are prepared for both. This is something that we have been working very intensively on for a long time, and I thought you would benefit from a little bit more context.
Benjamin Nicolas Chaiken: Very helpful. Thank you.
Operator: Our next question comes from Shaun Clisby Kelley from Bank of America. Please go ahead. Your line is open. Good morning, everyone. Mark, at risk of going even further down the rabbit hole, I think that AI and generative AI is clearly the topic across a lot of different sectors right now. Can you talk a little bit more about your actual relationship with OpenAI or ChatGPT? What do you get from that in terms of your ability to see behavior? What do you own versus what do they own in that relationship? How do you monetize it, or how is that different than traditional SEO-based, open browser search? How is this fundamentally different when you see what people are doing on the app?
Mark Hoplamazian: I am trying to think about how to best order my answer. First of all, you are asking specifically about OpenAI, so let me address that. Then let me expand, because OpenAI is just one of the LLMs that we are using for our agentic platforms. We have in-licensed others—Microsoft, Google, Anthropic, and OpenAI—for use in different agentic platforms that we have already built and that are live in production at the moment. The way it basically works is the infrastructure that we have built is all private cloud-based. You in-license an LLM, and that LLM is in your environment, and you are paying a license fee to whomever provided it. But that is the LLM that is used that we then apply our own training to. We train that model to be ours, and it remains ours within our environment in a protected way. The reason why you use different LLMs is because different LLMs have different attributes, both in terms of how they have been trained, but also their trainability. We have, for example, an agentic platform for our group sales force, and it has allowed them to value every piece of business. A few years ago, I think I may have mentioned this on a prior call, we responded to over one and a half million RFPs, and we wanted to automate a lot of what we are doing. Now we have the ability to value every single piece of business that comes in, rank-order them in terms of desirability from a total revenue perspective and profitability flow-through perspective, but also take into account our overall relationship with the party that is requesting space for a meeting. If it is a top-five customer but a relatively small meeting, it gets prioritized because we want to maintain greater share with the biggest and most important customers to us. What that has allowed is for us to grow group market share every month since we launched this. We are realizing higher revenue per group booking and we picked up almost 20% productivity for the group sales force folks at the hotel level. That is a day a week, if you can imagine how significant that is. That is just one of several examples. I am not going to go through all of them. Among other things, there are some competitively sensitive ones that I am not interested in sharing. With respect to the app, what is going to end up happening is you will have several agentic interfaces. We have fully thought through agent-to-agent booking, where you end up with individual travelers or even corporate travel managers or meeting planners that have their own agents, and being able to have agents on our side that interface and can complete reservations without any intervention whatsoever. We are prepared for that. We already built the capability to do it, and that is what we are advancing at this point. We are deliberate about which LLMs we use. We are going to work with everybody, and I think the advancements have yet to come. We are just seeing the beginnings of this on the agentic side, and Google is probably the one that is continuing to really focus their time and attention on this, and yet they have yet to really disclose the full suite of options that they will have. We are paying close attention to that and are in discussions with them every day. All of what I just described is revenue-focused. We have also implemented some agent platforms that are very much efficiency-focused, and both are in play right now for us.
Shaun Clisby Kelley: And maybe just as a very short follow-up, you had a very strong G&A program this year to keep costs under control. Are some of the efficiency gains that you are seeing here directly related to some of these AI initiatives? The group sales force comment you made does seem really tangible. Are we seeing that directly, or is that a little aggressive to connect those two dots?
Mark Hoplamazian: No. It is not aggressive. Some of the things that you are seeing in G&A are enabled by automation. We have already deployed a number of things that allow us to do better. It is not just about saving cost, by the way. It is about elevating the quality, robustness, and fidelity of the data and the analytics and the insights that can be derived from the data. It is about being better, not just being more efficient. Secondly, there are a whole bunch of things that we have already realized through automation—mostly machine-learning applications as opposed to true agentic AI, although some through agentic AI too—in our call center operations, for example, which have already had a significant impact in our cost structures with respect to our hotel services, which do not show up in our G&A. We spend hundreds of millions of dollars every year supporting our hotels, and we have freed up capacity within those funds to be able to invest further in AI enablement, automation, and machine learning. That is exactly what we are doing. You are not going to see that in G&A, but it is a significant unlock for additional value creation within our chain services environment.
Operator: Our next question comes from Richard J. Clarke from Bernstein. Please go ahead. Your line is open.
Richard J. Clarke: Thanks for taking my question and for bringing it a bit more back to the Brazil. In 2024, you were able to guide to a 54% conversion of EBITDA into free cash flow and then an 89% conversion of free cash flow into capital return. Those are worse for 2026 than they were for 2024, despite you being more asset light. Help us bridge why that has dropped down and also the disconnect on RevPAR between your commentary of mid-single digit growth, positive on all segments, and a low to midpoint of 1% to 2%. Is there anything in there like refurbishments that are going to weigh RevPAR to get you down to that level?
Joan Bottarini: Richard, let me take these one at a time. The cash flow commentary that you provided—we expect in 2026 to be back to those levels of conversions, which is low to mid-fifties. If you look at the percentages that I described in my prepared remarks, we are absolutely back there. We also have opportunity above and beyond that. We are looking to have some delevering over the next couple of years to get us back into our investment-grade ratios. That will take some interest expense out of the equation, and there is obviously opportunity because of our asset-light position now and where we expect to grow, including the contribution from the credit card into 2026 and into 2027 as we previously described. On RevPAR, we provided a bridge so that you could see very clearly how we anticipate RevPAR to grow. The top-line expectations that we provided in the outlook is 8% to 11%. If you look at the contribution of Playa and the impact of the restructuring of the credit card earnings into our co-brand earnings into our results, we end up with a midpoint of core fee growth that is exceptionally strong. It is 7.5% at the midpoint. We also provided in the materials that we distributed this morning that we have had a core growth in our fees since 2017 on a compounded basis of almost 8%. We are exceptionally proud of how our core growth in fees has been growing and we expect will continue to grow. We wanted to make sure that highlight was well understood, which is why we provided the breakdowns that we have. I hope that answers your question.
Richard J. Clarke: One final part. On the capital returns at the $350 million midpoint, am I able to understand that it is because you will be deleveraging this year, and so hence some of the free cash flow goes to deleveraging rather than capital return?
Joan Bottarini: As we sit here at this point in the year, our capital allocation strategy has not changed. We expect to invest in growth for the platform and return excess cash to shareholders as appropriate, and of course retain our investment-grade profile. As we sit here now, we think that the healthy start to the year—and as you have seen us do time and again for the past decade—we have returned capital to shareholders when there is excess cash. I would point to when we had the signing bonus in 2025, we did what we said we were going to do, which was return that directly to shareholders as excess cash. That will be how we proceed with this year as well.
Richard J. Clarke: Understood. Thank you.
Operator: Our next question comes from Brandt Montour from Barclays. Please go ahead. Your line is open.
Brandt Montour: Good morning, everybody. Thanks for taking my question. The industry has largely cited a better December than expected, and that was the best month of the quarter for most folks. You did a really impressive 4% globally for the fourth quarter overall. If I look at the first quarter guidance, you are pointing to the midpoint of your full-year guidance, so you are looking for, let us say, 2% in the first quarter after doing 4% in the fourth quarter. With the context that one of your larger peers yesterday called out a real-time firming within business transient—they are seeing some first-quarter pickup, essentially December and the first quarter—are you seeing that? Is there anything else in the first quarter that we should think about quarter-over-quarter in terms of comparisons?
Joan Bottarini: Brandt, why we ended up at that midpoint of the range is that we are seeing a continuation of trends. We are absolutely seeing that package RevPAR is very strong in the first quarter, so leisure transient is as we described. January has come in a little bit better than our range, at the top end of our range. With respect to the breakdown of that, BT has improved slightly, still a little bit flat in January. It has been an interesting comparison because, of course, last year we had the inauguration. As we look at the quarter and we consider the conversations that we are having with our big customers, we are absolutely hearing that they are still intending to travel. It is just that as you look at the booking windows, BT remains the shortest. We are about flattish in January. The overall for January is at the high end of our range, and that package RevPAR is really strong, which is a great sign for leisure.
Mark Hoplamazian: There are two things that I would say are true. First, do not forget we are lapping inauguration last year, so that has some impact. Excluding Washington, our U.S. BT would have been better, because U.S. BT overall was down. It would have been better by a significant measure because of the comparison in D.C. The second thing I would say is that our pace, such as it is—it is short term—is positive in both February and March. Even though the total revenues that are booked right now are not huge proportions of total BT expected revenues, they are up in both cases above the top end of our RevPAR range for the year. So BT looks like it is going to be firming for the remainder of the first quarter. Leisure, as Joan pointed out, is very strong, especially at our all-inclusive resorts with pace up around 10%. We are looking at a situation where, as much as we can tell at this point, it looks like we have more positive momentum on the BT front in the near term at least. Anything beyond two months out is not really relevant because the booking window is so short. We are also going to be lapping Liberation Day. We will see what impact that has in terms of the comparisons when we hit April.
Brandt Montour: Thanks, everyone. I will leave it at one.
Operator: Next question comes from Smedes Rose from Citi.
Smedes Rose: Hi. Thank you. I wanted to ask a little more on your decision to no longer include EBITDA from nonconsolidated joint ventures in your definition. I know you said part of it aligns with peers, but it also, I think you said, reflects strategy and evolution. I assume these are minority interests that you hold. Would it make strategic sense to go to your partners and try to get bought out over time as a way to get more simplicity in your overall model? I guess the benefit of these nonconsolidated JVs will just come to you through the EPS line, which I think most people focus less on relative to peers because for lots of reasons it is very difficult to model just getting to an EBITDA number. Could you talk about that decision a little more?
Mark Hoplamazian: A good question is one for which I have an answer. A great question is one in which I get an idea thrown at me that we are actually already implementing. Thank you. In 2017, when we started going down the path of the program to sell down more methodically the asset base, we concurrently really shifted our strategy. Up until then, we were actively using real capital. We had allocated $200,000,000 back in 2015, 2016, and 2017 to fund JV interests to help propel getting Hyatt Centric open in great locations with great partners. Those investments turned out to be good investments. Many of them, other than a couple, have already been monetized. The same was true for a few Hyatt Place properties in key locations like Austin and Nashville. We have used capital through JVs to help propel and accelerate growth for individual brands. We will find other opportunities to do that, but it is not a proactive strategy that we are pursuing. We are actually pursuing what you described, which is looking at monetization of all of our JVs over time. As you say, in some cases, we have the ability to actually control an exit. In other cases, we have bought out partners so that we can control the hotel and then be able to pursue a sale. There are several examples of that where those owned hotels are currently in our portfolio—JV partners have been bought out. Finally, we have one public situation, which is Juniper. I think the market cap of our holdings is somewhere in the $240,000,000 to $250,000,000 range, which is a staggering return because we only put in maybe $40,000,000 into that investment to begin with. That is after a significant decline in the Indian market. We believe that value will recover because performance in India continues to go from strength to strength, and we will look to monetize that over time. Your suggestion is accepted. The mandate is set, and we are going to work.
Joan Bottarini: I would just add that similar to the program for asset sales, we have retained management and franchise contracts on every single transaction, and this portfolio is also of a very high quality. We have high-quality partners. As we consider all of the future actions we might take that Mark laid out, we would retain management and franchise contracts on all of these.
Smedes Rose: That is helpful. Thank you. Can I just ask a quick follow-up separately? You mentioned the impact of Hurricane Melissa. It is in your numbers. Do you have any business interruption insurance claims, or is there anything that might offset that?
Joan Bottarini: Yes, we sure do, Smedes. As you can imagine, in these parts of the world, this is a risk that we are faced with. As owners, while we were owning the Playa Hotels, and our owners also have good insurance in this location. We have not included that in the outlook, if that was your next question. We are not sure when those proceeds will come in. We will keep you posted.
Smedes Rose: But that impact could be modified somewhat by insurance? I know the timing is always difficult, and the amount is always difficult.
Mark Hoplamazian: It will be, but the amount and timing is what is still under discussion.
Smedes Rose: Thank you. I appreciate it.
Operator: Our next question comes from Steven Pizzella from Deutsche Bank. Please go ahead. Your line is open. Good morning, everyone, and thank you for taking my question. Mark, I wanted to ask about how you think about the ALG Vacations benefit to the business today—whether that is something you would consider selling outright to a partner similar to UVC; you can manage the business. I am more curious broadly about how you think about the benefits to the broader business. Is it an acquisition tool for new all-inclusive resorts because you can tell owners you will drive people to your destination? Is it just that integral to the existing portfolio that you like maintaining the control?
Mark Hoplamazian: The answer is yes and yes. Let me give you some data first. The HIC portfolio has outperformed the overall market every year since we have owned ALG, and part of the reason that is true is because of ALGV’s capabilities. I think that plus UVC members, who are the most dedicated and loyal, are driving outperformance for our HIC hotels. Finally, World of Hyatt is growing significantly across our all-inclusive resorts in terms of penetration. It is up 290 basis points year over year in terms of penetration, and I think we have a lot more room to go. Over time, you will see World of Hyatt also be a major contributor. Between those three avenues, which are wholly owned, we have real ability to drive business where and when we need it. The underlying business itself is a profitable and really good distribution platform. For context, HIC represented about 30% of ALGV’s total hotel revenue in 2025, and ALGV represented about 16% of HIC’s total rooms revenue in 2025. It is a channel that represents fully 16% of our total net package RevPAR. Our own portfolio represents about 30% of ALGV total volume. So the answer is yes, it is extremely helpful in new property acquisition. Yes, it is extremely helpful and vertically integrated into how we sell currently. The other major benefit is that we get tremendous visibility into lift. We represent something like 13% of all the plane lifts in Cancun Airport, the largest market share of anybody, and we are similarly number one in Punta Cana. We have an incredible relationship. We buy hundreds of millions of dollars of airline tickets every year from all the major airlines, and we are plugged in in a way that gives us great visibility to route planning and to flow. To your question—yes, my answer is we are always open and always evaluating potential strategic alternatives for ALGV, but there are certain conditions. One, we have to maintain the strategic attributes that I just described. Two, it really needs to be something that would be an enhancement of their business model, not just a financial transaction, because there are many players, you can imagine, that would bring different dimensions to ALGV’s business, whether that be geographic expansion or product type expansion. Finally, ALGV has for the last two straight years been working on AI enablement, and we believe that they have made some great advances. We have a lot more to do this year, but I think we are going to end up seeing some real opportunities there to improve the internal economics of the business itself, but also improve the market positioning of ALGV. There is opportunity to do better with what we have, and yes, we are open to strategic alternatives meeting those conditions that I just mentioned.
Joan Bottarini: Maybe, Steve, I will just add with respect to the guidance that I provided in my prepared remarks. I mentioned that there would be about a $10,000,000 headwind for 2026 related to the business, and that is in part because of the impact of Jamaica and in part because of what we are experiencing with the four-star and below demand. In addition to that $10,000,000 for the year, we expect on a net basis that full amount to be recognized in the first quarter because we are lapping such a strong quarter relative to 2025. As you look at the rest of the year, we moderated post-Liberation Day, so Q2 and Q3 may be a little bit down, with an upside in Q4. That is how you can think about it across the year, which we think would be helpful because I think there have been some questions about how to model the business.
Mark Hoplamazian: We are not running the company for the first quarter of this year. This Jamaica impact is a 2026 issue. We have plans with the owner, Tortuga, and the other owners in Jamaica—it is primarily Tortuga. They have a fantastic insurance program, as we had. They will have the money. I met with the Minister of Tourism two weeks ago in Spain, and they have assured—and we know—that airports are open, roads are open, the potable water supply is restored, the grid is restored. They did this in record time—just remarkable. In addition to that, the government is taking action to facilitate getting building products brought in without undue tariffs and taxes, and labor. They are really supporting. The government is backing up the truck to make sure that all of the reconstruction can be done in the most cost-efficient and fastest way possible. So yes, we are going to take a hit in 2026. We have been very explicit about what that is. The real point is what does that position us for in 2027? We are going to have fully refreshed, newly rebuilt and renovated and upgraded hotels, and Jamaica is going to have a very strong year because the government is going to make sure it does. There are too many jobs dependent on this industry for the government not to throw everything they have at this for 2027. 2026 is what it is. It is not a persistent issue. It is not a fundamental structural issue. It is a point in time. 2027 has the opportunity for us to far exceed what our own underwriting was out of those resorts when we did the deal and sold the properties. I am excited about the prospects for Jamaica. I am excited about the financial prospects for those properties as we head into 2027. If you are here to buy the stock for what we are going to do in the first quarter, you probably should not. That is a trading question, and I am not going to engage in trading questions. This is about an investment. The profile sets up beautifully for a great 2027.
Steven Pizzella: That is very helpful. Thank you.
Operator: Our next question comes from Lizzie Dove from Goldman Sachs. Please go ahead. Your line is open.
Lizzie Dove: I want to go back to rooms growth. You mentioned earlier, to Dan’s question, about being open to portfolio deals. Just to confirm, is your assumption then that the 6% to 7% would not necessarily be all organic? You also mentioned some of the newer brands where you have traction—Hyatt Select, etc. How big do you think those can be over time as a contributor?
Mark Hoplamazian: Thanks. We believe that the 6% to 7% is the organic growth number, just to be clear. The fact that we have brands that are designed for conversion is taken into account. Portfolio deals are different, though. When we are building Hyatt Select’s pipeline, which has expanded dramatically, and when we are building the Unscripted pipeline, that is one-by-one hotel. Sometimes we do mini portfolios. We brought Wink Hotels in Vietnam—six hotels that joined Unscripted in December. That is a mini portfolio deal, but it is really treated like a regular-way development deal. Our organic growth includes the brand portfolio that we currently have, which includes conversion brands. You can expect that is how we think about that. The portfolio deals that I am talking about are larger and have more infrastructure associated with them. These are management platforms, either because of geography or type of hotel, where we would do a deal, bring on a larger number of hotels either under its own brand or to be included under one of our collection brands or to be rebranded. We would also bring on capabilities and people who are engaged if it is in a geography in which we have relatively modest representation, which is exactly the kinds of deals we should be doing. In order to grow our reach and our points of service to all of our guests and how we care for our guests, we end up focusing on the places where we do not have representation. One of us mentioned that 50% of the signings were in new markets. That shows the strategy in the data as well. Thank you for that, Lizzie. I want to thank all of you for your time this morning. As you have heard throughout today’s call, we are really proud of what we have accomplished. We are really proud of the Hyatt Hotels Corporation family, and we are really excited about the momentum that we have in the business. The fee-based aspect of our business is going from strength to strength. I think there has only been one year in the past ten years where we have not led the industry in RevPAR growth. I would focus everyone’s attention on the fact that yes, we have done a lot of M&A over this period of time. Yes, as the headlines have continued to point out, there are some moving pieces. We have been very explicit about what they are. We provided bridges. We provided all the information to simplify so that people can understand what we have done and where we are headed. But do not mistake that significant value growth through inorganic activity. Do not let that distract you from the fact that the core business is extremely strong. Our cash flow conversions are going up. Our returns to shareholders will continue to go up, and our ability to delever and open up more capacity in the future—or relever and return more to shareholders—is before us. Stay tuned. We appreciate your continued interest in Hyatt Hotels Corporation, and we certainly look forward to welcoming you into our hotels. For any of you who are not members of World of Hyatt, please join. It is a phenomenal program, and you can read about it on any blog. People love this program. Do not take my word for it—just go read about it. Thank you, and have a great day ahead.
Operator: This concludes today’s conference call. Thank you for participating, and have a wonderful day. You may all disconnect.